Operator: Ladies and gentlemen, good day and welcome to Full Truck Alliance's Fourth Quarter and Full Year 2022 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mao Mao, Head of Investor Relations. Please go ahead.
Mao Mao: Thank you, operator. Please note that today’s discussion will contain forward-looking statements relating to the Company’s future performance, which are intended to qualify for the Safe Harbor from liability, as established by the U.S. Private Securities Litigation Reform Act. Such statements are not guarantees of future performance and are subject to certain risks and uncertainties, assumptions and other factors. Some of these risks are beyond the Company's control and could cause actual results to differ materially from those mentioned in today's press release and discussion. A general discussion of the risk factors that could affect FTA's business and financial results is included in certain filings of the Company with the SEC. The Company does not undertake any obligation to update this forward-looking information, except as required by law. During today's call, management will also discuss certain non-GAAP financial measures, for comparison purposes only. For a definition of non-GAAP financial measures, and a reconciliation of GAAP to non-GAAP financial results, please see the earnings release issued earlier today. Joining us today on the call from FTA's senior management are Mr. Hui Zhang, our Founder, Chairman and CEO, and Mr. Simon Cai, our CFO. Management will begin with prepared remarks, and the call will conclude with a Q&A session. As a reminder, this conference is being recorded. In addition, a webcast replay of this conference call will be available on FTA's investor relations website at ir.fulltruckalliance.com. I will now turn the call over to our Founder, Chairman, and CEO, Mr. Zhang. Please go ahead, sir.
Hui Zhang: [Foreign Language] Hello everyone. Thank you for joining us today on our fourth quarter and full year 2022 earnings conference call. During the year, uncertainties persisting within the macro environment posed various challenges to our operations. Despite these headwinds, we are pleased with our performance in the fourth quarter, as we are ending 2022 on a strong note. [Foreign Language] Over the past year, we achieved progress across all of our business segments that are in different stages of development. We took steps to standardize our platform data management and upgrade the network security system by leveraging big data and advanced freight matching algorithms. This enhanced the users' experience by providing them with high-quality, efficient, and full-coverage capacity network services in a secure network environment. Additionally, we made considerable efforts in platform process simplification, improved apps usability and user misconduct rectification. These actions mainly included building a shipper rating system, creating the five-star shipper accreditation, launching a trucker growth pilot program, and cracking down on malicious price-cutting behavior. By maximizing both shippers' and truckers' experiences, and elevating operational efficiency, we expanded our high-value services to more shippers and truckers during the year and safeguarded their rights and interests. As we ended 2022, we were pleased to see a revival in user growth in terms of both shippers' and truckers' fueled by reinstating new user registration in June. With the number of high-quality users growing on the platform, we are improving our platform ecosystem to provide a more secure transaction environment for our users. Furthermore, as corporate social responsibility is one of our core values, we lowered the number of truckers' trucks with empty loads, saving energy and reducing carbon emissions through implementing new technological innovations, further contributing to the green development of the transportation industry. [Foreign Language] For the full year, our gross transaction value and the number of fulfilled orders reached RMB261.1 billion and 119 million, respectively. While our business was adversely affected by repeated resurgence of COVID-19 outbreaks at the beginning of the fourth quarter, road freight began to recover following the full removal of COVID restrictions in December. In the fourth quarter, the GTV reached RMB72 billion, while the number of fulfilled orders was 32.6 million. Our average shipper MAUs reached 1.88 million, representing a 19.7% increase year-over-year. With the strong aforementioned tailwinds, total net revenues in the fourth quarter surged by 34.5% year-over-year to RMB1.92 billion. As for our non-GAAP financial measures, our adjusted net income reached RMB445.8 million in the fourth quarter. On a full-year basis, the total net revenues from our platform soared by 44.6% year-over-year to RMB6.73 billion, and the non-GAAP adjusted net income increased by 209.8% to RMB1,395.4 million. [Foreign Language] Looking ahead into 2023 in the wake of the post-pandemic era, activity within the entire freight industry is well on its way to a full recovery. China’s unswerving support for private enterprises and the platform economy positions the country for a revival in social and economic activities. This renewed energy reaffirms our commitment to our long-term vision and strategic direction of our platform development. We will keep advancing our technological innovations by leveraging big data, managing our goals and artificial intelligence to create more value for users across different industries. While promoting the green transformation of China's transport industry, we will push forward in solidifying our industry leadership position and further expand our market share, creating greater value for users, shareholders, and other stakeholders. [Foreign Language] To further demonstrate our confidence in the company's long-term prospects, today we announced that the Board of Directors authorized a share repurchase program under which the company may repurchase up to $500 million of ADS over the next 12 months. The company plans to fund repurchase from its existing cash balance. [Foreign Language] Thank you. With that, I will now turn call over to our CFO, Simon, who will elaborate further on our fourth quarter progress and go over our operational and financial results in more detail.
Simon Cai: Thank you, Mr. Jung. And hello everyone. Today as usual, I will first go over some of the highlights for the quarter, followed by a brief overview of our key financials. The quarter began with the lingering pandemic challenges weighing on the economy, while the fourth quarter is the traditional peak season for freight transport, various regions continued to experience certain fluctuations in freight volume in October and November due to rolling COVID policies, which negatively impacted our business. Following the removal of COVID restrictions in December, the order volume from the platform gradually ramped up, reaching the full year peak in early December. However, in mid-December, the order volume declined due to a large number of truckers getting infected with COVID, which affected overall transport capacity. As infected truckers returned to work and transport capacity recovered after the Chinese New Year, we see activity within the freight industry resurging from the lows of last year. Despite the many disruptions, our average fee rate reached approximately 24% in fourth quarter, increasing on a monthly basis with our average fulfillment rate reaching 26.4% in December. The increase in fulfillment rate was due to easing COVID policies, which strengthened truckers’ willingness to take freight orders, while we also progressively restored the supply and demand balance between truckers and shippers. Moreover, with the resumption of new user registration, the overall number of shippers on the platform grew, of which most of them are direct shippers with relatively higher fulfillment rate as compared to middlemen, and therefore contributed to our improved fulfillment rate. Now, looking specifically at our users, we were able to maintain the previous quarter's momentum that was ignited by the revival of new users registration. The continued uptake in the overall users during the fourth quarter pushed our average shipper MAUs to 1.88 million or year-over-year increase of 19.7%. Our average trucker MAUs, including those fulfilling and responding to orders remain stable month-over-month with 3.5 million active truckers fulfilling shipments in the past 12 months. In the last four quarters and the 12-month rolling retention – the 12-month rolling retention rate of those shipper members and the next month's retention rate of truckers who responded to orders remained steady at around 85%. Our ability to maintain a high retention rate demonstrate once again the high degree of stickiness of our overall user base. Along with our high user gains we are optimizing our overall user composition as a number of both 688 members and non-paying members, which typically are direct shippers continued to increase in the fourth quarter. More importantly, the contribution from these two types of users further increase to about 45% in terms of number of fulfilled orders, which we expect will increase further as the user scale continue to expand. This year, the acquisition of new users will remain a high priority. In addition to our traditional online marketing and promotional activities, we will explore new initiatives and marketing channels to attract high value users and build brand awareness such as precise marketing towards consumer user scenarios and marketing through users’ social networks. At the same time, we'll strengthen our offline user acquisition strategy through our ground promotion team, combined with our local operations to reach target user groups both online and offline. As we move into 2023, we remain focused on improving our services, acquiring and retaining users, and allocating more resources on branding and marketing in order to gradually replace the inefficient acquaintance truckers' model. We plan to attract more low- and medium-frequency direct shippers through online channels and improving their user experience for their first time fulfillment in order to boost the conversion rate of non-paying users into paying members. Now briefly turning to our platform, in the fourth quarter, we continue to invest resources in creating a trusted transaction environment and improving the healthiness of the platform's ecosystem. We simplified users’ complaining process and made it more accessible and user-friendly. For instance, our hotline upgrades makes it easier for users to access customer service, and the complaint button on the apps’ order detail page allows users a one click access to the complaint section. We also fundamentally improved our product functionalities to reduce the possibility of disputes. As an example, in response to shippers’ auto cancellation, we added trucker common feature to allow truckers’ voice to be heard, hence encouraging rational shipments and reducing frictions between shippers and truckers. Another notable accomplishment for us in the fourth quarter was widening the penetration of our shipper waiting systems coverage, which enhances the role of users’ credit in our ecosystem and protects the interest of both truckers and shippers. As the number as the number of five-star high quality shippers continue to increase and we gain more recognition from truckers and shippers, we have seen a significant decline in order cancellation rate by these five-star shippers. Subsequently, the average fulfilment rate of five-star shippers in 21.8 percentage points higher than that of the platform as a whole. As we proceed, we will continue to refine and improve our rating system on both ends in order to regulate and discipline their behaviors. Turning to our online transaction service, the segment maintains sustainable growth in the fourth quarter amid the volatile macro environment, showing a 67.4% increase year-over-year to RMB447.8 million. This increase was primarily driven by improved commission rate. In the fourth quarter, our online transaction service covered roughly 50% of the transaction GTV or 60% or 60% if measured by fulfilled orders. For the full year, commission China – penetration by number of orders has increased by nearly 8 percentage points to approximately 56%. Looking ahead, we’ll beef [ph] up our investment, to strengthen our platforms fulfillment and transaction assurance services. Furthermore, as we expand our users, we will find our tiered commission strategy based on freight matching time and freight amount, and dynamically adjust our commission policies. Additionally, given the fact that transaction disputes are normal occurrence in this industry, we’ll continue to improve our data label algo in order to improve fulfillment efficiency in help with disputes resolution, and ensure that truckers are provided with high quality, high price goods for ship – from shipper, from direct shippers, which should gradually improve our user composition and ultimately contribute to higher commission rate. In summary, during 2022, we continue to improve the platform’s eco systems governance and elevated the user’s experience, while ensuring network system security and optimizing platform data regulations. We implemented an active user acquisition strategy once new user registration resumed, which expended our user – our platform’s user base, and created value for our users. We’re proud of our team for their dedicated – their dedication and hard work under the conditions created by COVID restrictions. Going forward, we’ll direct the same spirit to sharpen our performance by leveraging digitalization technologies to improve our algos, matching accuracy and efficiency, broaden our products and services for direct shippers, and acquire more high quality users. At the freight industry gradually recovers, we’ll continue to harness our core advantages to provide users with service quality assurances and boost our commercialization capabilities further fortifying our leading industry position. Now, I’d like to provide a brief overview of our fourth quarter, 2022 and full year 2022 financials. Given the limited time for today’s call, I will be presenting some abbreviated financial highlights. We encourage you to read through our press release issued earlier today for details. Our total revenue for the year was RMB6.7 billion, representing a 44.6% increase year-over-year. Net revenues for the fourth quarter were RMB1.9 billion, representing a 34.5% increase year-over-year. The 2022 our net revenue from freight matching services including service fees from freight brokerage models, membership fees from listing models and commissions from online transaction services or RMB5.7 billion, up 43.3% from 2021 and RMB1.6 billion for the fourth quarter up 31.4% year-over-year, primarily due to the rapid growth in transaction commissions as well as an increase in revenues from our freight brokerage service. Revenues from freight brokerage service reached RMB 3.4% [ph] for 2022, up 34.5% year-over- year on a quarterly basis. Net revenue increased by 24% to RMB943.6 million in the fourth quarter, primarily driven by continued growth in transaction volume as a result of improved user penetration. Revenues from freight listing service were RMB852.4 million for the full year up 13.2% year-over-year and rose 11.2% year-over-year in the fourth quarter to reach RMB223.1 million, primarily due to an increase in total paying members. Revenues from transaction commissions amounted to RMB1.4 billion in 2022, representing a 107.4% increase year-over-year. On a quarterly basis the net revenue amounted to RMB447.8 million in the fourth quarter, representing a 67.4% increase year-over-year, primarily driven by a extended take rate as well as improved commission penetration. Revenue from value-added services were RMB1.1 billion in 2022, representing 51.7% increase year-over-year. For the fourth quarter, net revenues increased to RMB308.1 million, representing a 53.7% increase year-over-year, mainly attributable to an increase in revenue from credit solutions and other value-added services. Cost of revenues in the fourth quarter was RMB951.8 million compared with RMB658.2 million in the prior year period. The increase was primarily due to an increase in VAT, related tax surcharges and other tax costs, net of tax refunds from government authorities. These tax-related costs, net of refunds totaled RMB857.4 million, representing an increase of 54.3% from RMB555.5 million in the same period in 2021, primarily due to continued increase in transaction activities involving our freight brokerage service. Our sales and marketing expenses in the fourth quarter were RMB281.1 million compared with RMB239.4 million in a prior year period. The increase was primarily due to an increase in salary and benefits, expenses driven by higher sales and marketing headcount, as well as an increase in online advertising and marketing expenses. General and administrative expenses in fourth quarter were RMB408.2 million compared with RMB1.6 billion in the prior year period. The decrease was primarily due to lower share-based compensation expenses, partially offset by an increase in professional service fees. R&D expenses in the fourth quarter were RMB250.2 million compared with RMB233.6 million in the prior year period. The increase was primarily due to an increase in salary and benefit expenses driven by higher R&D headcount. Loss from operations in the fourth quarter was RMB5.3 million, compared with RMB1.4 billion in the same period of 2021. Net income in the fourth quarter was RMB195.7 million compared with a net loss of RMB1.3 billion in the same period of 2021. On the non-GAAP measures, our adjusted operating income in the fourth quarter was RMB248.4 million compared with RMB159.1 million in the same period of 2021. Our adjusted net income in the fourth quarter was RMB445.8 million compared with RMB242.8 million in the same period of 2021. Basic and diluted net income per ADS were RMB0.18 in the fourth quarter compared with basic and diluted net loss per ADS of RMB1.23 in the same period of 2021. Non-GAAP adjusted basic and diluted net income per ADS were RMB0.42 in the fourth quarter compared with non-GAAP adjusted basic and diluted net income per ADS of RMB0.23 in the same period of 2021. As of December 31, 2022, our cash and cash equivalents, restricted cash, and short-term investments totaled RMB26.3 billion compared with RMB26 billion as of December 31, 2021. As of December 31st last year, the total outstanding balance of the on-balance sheet loans, consisting of the total principal amounts and all accrued and unpaid interests net of provisions of the loans funded through our small loan company and the trusts established by us, was RMB 2,648.4 million, compared with RMB 1,777.7 million as of December 31, 2021. And the total non-performing loan ratio for these loans were about 2% as of end of last year, which was flat compared with that of December 31, 2021. Looking at our business outlook for the first quarter of 2023, we expect our total net revenues to be between RMB 1.56 billion and RMB 1.64 billion, representing a year-over-year growth rate of approximately 16.9% to 23%. These forecasts reflect the company's current and preliminary views on the market and operational conditions which are subject to changes and cannot be predicted with reasonable accuracy as of the date hereon. In late January, we were forced to defend ourselves against groundless allegations in a published short-seller report. Upon receipted of the report, the audit committee quickly launched an independent investigation with the assistance of third-party professional advisors including an international law firm and outside forensic accounting experts from a big four accounting firm. Today, we announced the substantial completion of the internal review, which were conclusive in its findings that the key allegations were not substantiated. We sincerely appreciate the trust and support we have received from our investors during this period and want to take this opportunity to publicly reiterate our commitment to maintaining high standards, transparency and timely disclosure in compliance with the rules of the New York Stock Exchange. That concludes our prepared remarks. We would now like to open the call to Q&A. Operator, please go ahead.
Operator: Thank you. [Operator Instructions] And our first question today comes from Ronald Keung with Goldman Sachs. Please go ahead.
Ronald Keung: [Foreign Language] Thank you, management. Just want to ask about that the pandemic impact is mostly behind us, and we are also seeing the overall kind of macro economy kind of improving. So against these backdrop in 2023, how do you view the overall strategy direction of the company and what are the company's business priorities this year? Thank you
Hui Zhang: [Foreign Language] Our priority for 2023 is to reinforce our platform's core competitiveness and enhance user business. The removal of pandemic controls has been a game changer for us as business activities returns to normal. As the demand and supply gradually resume, we will double our effort in building our brand equity along with improving operations as both use ends. For truckers, we plan to successively implement our trucker hierarchical management strategy in various regions throughout the country. Truckers will be incentivized to improve service quality as well as to increase their activity levels. On the shipper side, we will intensify and broaden new user acquisition and in combination with a series of operational activities including: promoting users, first time fulfillment and converting non-paying users into 688 members, thereby increasing shipper's usage frequency and user business. [Foreign Language] This year we will remain focused on full truckload transportation to solidify a more comprehensive foundation for the platform business. As for our new business initiative, we will take a steady approach of validating the innovative business models, while balancing a skill and efficiency. Thank you. Next one, please.
Operator: Thank you. Apologies everybody and our next question today comes from Charlie Chen with China Renaissance. Please go ahead.
Charlie Chen: [Foreign Language] So in the fourth quarter the platforms fulfill GTV rose by 3.5%, and average freight rate increased by 6% quarter-over-quarter. What are the reasons for these changes? And how do you see the freight rate trending going forward? Thank you.
Simon Cai: Actually, let me address the rest of the questions in English. Our sequential GTV growth in the past quarter was primarily attributable to an upswing in users – in new users following the resumption of new user registration, which partially offset the pandemics negative drags on business. As we phased the bottlenecks due to transportation capacity constraints from the pandemic control measures, short-term freight rate rose, which had a persistent and lagging impact on transaction volume. When the pandemic control measures were lifted in December, the demand recovered as evidenced by our platform data, yet the supply was not fully able to – was not able to fully catch up with demand. However, this issue was gradual resolved after the Chinese New Year as more truckers returned to work. Regarding the freight rate, its increase in the fourth quarter was primarily due to higher fuel prices in 2022 in addition to the changes in the imbalance of supply and demand resulting from the pandemic. Looking ahead into 2023, while few prices are still high, the pandemic's impacts are gradually exceeding. As such, we expect the overall freight rate to slowly return to a reasonable price range. The freight rate is affected. It's affected by a variety of external factors, including few prices and highway toll fees, among other things, which are difficult to predict, and they are impacted by factors that beyond our control. In comparison, the platforms fulfilled other volume is a better reflection of our overall operating capabilities, and this is also why we mentioned as we mentioned previously, we will no longer focus and disclose GTV related operating metrics starting from the first quarter ours.
Charlie Chen: Thank you.
Operator: Thank you. Our next question today comes from Jiulu Li with CICC. Please go ahead.
Jiulu Li: [Foreign Language] The number of few orders decreased by 2.5% quarter-over-quarter in the fourth quarter. What other factors that contributed to this? How do you see the volume of fulfill orders trending in the first quarter? Thanks. 
Simon Cai: Yes. Firstly, we see the negative impacts of pandemic weighted on our operation in the last quarter, and these headwinds are were most – were more pronounced in October and November, as we experienced various – varying degree of logistics disruptions in some of the key provinces, which with large freight volumes such as Hunan, [indiscernible], Shandong and Hebei. Subsequently, the overall transaction volume was below our expectation around double 11th, the e-commerce sales promotion season. The average daily transaction volume only began to rebound after the removal of pandemic control measures in December, and gradually reached its peak for 2022 by year-end. However, the upturn in orders from newly registered users in fourth quarter partially offset the pandemic first effects. Judging from our operating performance since January this year, the freight volume recovered better than expected after the Chinese New Year as it is achieved outstanding year-on-year growth, in the absence of any unexpected external changes, we anticipate a year-on-year increase at low teams in overall other volume in the first quarter, and – as both demand and supply recover.
Operator: Thank you. And our next question today comes from Cherry Leung with Bernstein. Please go ahead.
Cherry Leung: [Foreign Language] So, I’ll do in English, can you please provide an update on your shipper members expansion, and do you see any changes in the truckers and shippers activities in the quarter? Thank you.
Simon Cai: Thank you. In the fourth quarter we continue to advance our shipper membership strategy. As a result, the number of shipper members grew to 730,000 up almost 20% year-over-year. The growth was primarily attributable to an increase in our 688 members who are mostly direct shippers. As our year-over-year growth in the 688 members exceeded 30%. Additionally, as part of our strategy to increase user growth, we remain focused on prioritizing user experience in the fourth quarter, for example we committed to improve the fulfillment rate of new non-member users, first three orders on a platform and increased our telemarketing coverage. This facilitated user conversion upon initial purchase of membership, thereby enabling us to reach our target of high quality membership user growth. With respect to user activity, truckers ability to respond to orders and fulfillment capabilities fell sharp as slightly on third quarter due to the pandemic control measures in October and November. That being said our platforms users still displayed strong thickness resulting in a steady retention rate quarter-over-quarter. Going forward, as the industry recovers and we continue to strengthen our brand, we expect to maintain high level of stickiness and growth from both shippers and truckers.
Operator: Thank you. And ladies and gentlemen, our next question today comes from Thomas Chong at Jefferies. Please go ahead
Thomas Chong: [Foreign Language] Thanks management for taking my questions, given the macro tailwind, can you elaborate more about your full year outlook in terms of volume growth as well as full year revenue guidance? Thank you.
Simon Cai: Thank you for first quarter to date, we are very pleased to see that the demand from both shippers and truckers have recovered significantly, and we expect the overall other volume to deliver sequential growth quarter-over-quarter. Following this trend we are confident to achieve a year-over-year growth in the high-teens to low-20s for other volume on a full year basis. On the revenue front, we expect our total revenues for the first quarter to be between RMB1.56 billion and RMB1.64 billion representing a year over gross rate of approximately 16.9% to 23%. We expect primary driver for the revenue will be continued growth in transaction commissions. For 2023, we expect revenues from transaction commissions to maintain a healthy long rate as our user base, and our volume continue to grow. At the same time, we remain committed to boosting the level of commission penetration as well as to further enhance our overall commission rate.
Operator: Thank you, and ladies and gentlemen, this concludes our question-and-answer session. I'd like to turn the conference back over to management for any final remarks.
Mao Mao: Thank you once again for joining us today. If you have any further questions, please feel free to contact us at Full Truck Alliance or TPG Investor Relations. Have a good day.
Operator: Thank you. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines and have a wonderful day.